Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Fourth Quarter and Full Year 2020 Earnings Call. At this time all participants lines are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference to you Mike Harris, Vice President and Corporate Development of Investor Relations. Thank you. Please go ahead, sir.
Mike Harris: Good morning and welcome to our Fourth Quarter and Full Year 2020 Earnings Call. I'd like to thank everyone for joining us this morning. With me today is Aaron Jagdfeld, President and Chief Executive Officer; and York Ragen, Chief Financial Officer. We will begin our call today by commenting on forward-looking statements. Certain statements made during this presentation, as well as other information provided from time to time to Generac or its employees, may contain forward-looking statements and involve risks and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see our earnings release or SEC filings for a list of words or expressions that identify such statements and the associated risk factors. In addition, we will make reference to certain non-GAAP measures during today's call. Additional information regarding these measures, including reconciliation to comparable US GAAP measures, is available in our earnings release and SEC filings. I will now turn the call over to Aaron.
Aaron Jagdfeld: Thanks, Mike. Good morning everyone and thank you for joining us today. The fourth quarter was a tremendous finish to 2020 for Generac with all-time record performance for both the quarter and full year net sales, adjusted EBITDA, adjusted EPS and free cash flow. Fourth quarter shipments, margins and profitability were all well ahead of our previous expectations. The revenue outperformance was primarily due to higher shipments of home standby generators from better than expected production output. We're also pleased that shipments of PWRcell energy storage systems met our aggressive expectations during the quarter. The ongoing elevated level of power outages, combined with the emerging Home as a Sanctuary trend, continued to drive unprecedented levels of demand for home standby generators across the entire US. We continue to aggressively ramp production levels for home standby throughout the fourth quarter to all-time record daily build rates. Despite this expanding production, the ongoing robust demand created substantial backlog for these products at the end of the year, far exceeding anything previously experienced in the history of the product category. Year-over-year, overall net sales increased approximately 28% on a core growth basis as compared to the prior year quarter. This growth was primarily driven by the dramatic increase in sales of home standby generators, followed by the continued ramp of PWRcell energy storage systems. In addition, the higher power outage activity also drove elevated shipments of portable generators and aftermarket service parts, and chore products also improved at a strong rate as compared to the prior year. Partially offsetting this significant strength was the decline in shipments of C&I products, given the ongoing impacts of the COVID-19 pandemic. Gross margin expanded 180 basis points compared to the prior year, and adjusted EBITDA margin increased 380 basis points over the prior year to an impressive 25.7%, which was the highest margin reported since the fourth quarter of 2013. Before discussing fourth quarter results in more detail, I wanted to provide some full year 2020 financial highlights, as well as share some key accomplishments that we achieved during the year. First and foremost, I want to highlight the company's response to the COVID-19 pandemic as I'm extremely proud of our team's efforts in responding to the crisis as we focused on maintaining our operations to the fullest extent possible. This was particularly important considering that our products and services are both essential and critical to help keep a variety of networks and infrastructure up and running, including hospitals, healthcare clinics, 911 call centers, and wireless networks. Equally as important, we accomplished this while at the same time implementing a wide range of preventive measures to address the health, safety and well-being of our employees, customers, suppliers and the communities across the world where we operate and do business. Through the tireless execution of our nearly 7,000 employees globally during 2020, Generac achieved another year of record financial results across the board, and several metrics far exceeded the previous record levels seen for the full year 2019. Revenue grew 13% for the full year with adjusted EBITDA coming in at $584 million, an expansion of 290 basis points to 23.5%. And we generated $427 million of free cash flow during the year. Our ability to execute on the step function increase in demand for residential products that has emerged from the new Home as a Sanctuary megatrend was an important accomplishment during 2020. In addition, the building out of our clean energy market opportunity with a significant ramp in shipments of PWRcell energy storage systems was a key highlight. We also expanded our product and services portfolio with the acquisitions of Energy Systems, our industrial distributor located in Northern California and Mean Green, a leading manufacturer of an innovative line of battery powered turf care products. We also made the very strategic acquisition of Enbala Power Networks, which enables our entrance into the developing market for grid services. We launched important new products during the year with the introduction of the 24 kilowatt home standby generator, the market's most powerful air cooled unit with built-in energy monitoring. We also introduced the industry's largest rich burn industrial natural gas generator set at 1.1 megawatt of output, allowing us to target new market opportunities. All of these key accomplishments, as well as our execution on a number of other strategic initiatives, enabled us to make important progress on our continuing evolution to an energy technology solutions company. Our prior year accomplishments provide us with tremendous momentum as we head into 2021. The guidance we are initiating this morning calls for significant revenue growth of between 25% to 30%, highlighted by unprecedented home standby demand, continued expansion of the clean energy markets and recovering C&I markets. Adjusted EBITDA margin is expected to expand to 24% to 25% for the full year 2021, despite near-term supply chain concerns related to capacity constraints, increasing cost pressures and logistics delays across the business as we enter the New Year. York will provide more details on our 2021 guidance in the outlook portion of our prepared remarks today. Now let me provide a few more details on our accomplishments across the business for the fourth quarter and for full year 2020. Several key metrics that we monitor closely for home standby demand continued to be exceptionally strong during the fourth quarter. The combination of in-home and virtual consultations once again increased dramatically compared to the prior year. Broad based strength was experienced across the US during the fourth quarter, similar to the trends seen in recent quarters, with the vast majority of states showing triple-digit growth, which we believe provides further validation for the emerging Home as a Sanctuary trend. Activations also grew at a strong rate compared to the prior year, led by significant increases in the South Central, Southeast, and Northeast regions. The power outage severity environment also continued to be quite favorable and trended well above the long-term baseline average, benefiting from a record Atlantic hurricane season, early winter storms and continued power shut-offs in California. We also ended the fourth quarter with approximately 7,300 residential dealers, an increase of approximately 800 dealers over the last 12 months. This includes the addition of a significant number of new dealers in California during the year as we ended 2020 with approximately 550 dealers in the state. Importantly, thus far in the first quarter, these key demand metrics for home standby have continued to trend much higher relative to prior year levels. Home consultations are tracking at approximately double the prior year levels through early February. We believe this increase can be attributed to several factors that are leading to the product category becoming more mainstream as homeowners have an increasing awareness of the need for power security as they continue to work from home, learn from home, entertain from home, and shop from home. With demand for home standby generators at all-time highs, we've continued to aggressively ramp our supply chain and production output, and we achieved progressively higher record daily build rates throughout the fourth quarter. We expect to further expand capacity for these products with our announcement yesterday of plans to open a new manufacturing assembly and distribution operation in Trenton, South Carolina. The facility will support increased demand for home standby generators and certain other energy technology products and serve as a distribution center to customers in the Southeastern part of the country, creating approximately 450 new jobs over the next two years. The facility is expected to be operational by mid-year, and once fully ramped is projected to increase home standby capacity by approximately 75% relative to our previous normal levels as we entered 2020, with the ability to further expand the facility well beyond its current size in the future. Our Operations teams did an amazing job during 2020 ramping production of -- production output of home standby generators to record daily build rates by the end of the year. But despite the significant increase in output, lead times for home standby generators continue to expand from the approximately 18 weeks at the end of 2022 to approximately 20 weeks today. As a result, the substantial backlog for these products continues to grow so far here in the first quarter, despite our normal seasonal low point for residential products as home consultations and orders remain very robust. Now I want to provide an update this morning on our rapidly expanding energy storage systems effort and recent entrance into the grid services market. We made tremendous progress during 2020 with our continuing transformation into an energy technology solutions company, as we significantly ramped deliveries of our PWRcell energy storage system and with our entry into the market for grid services through the Enbala acquisition last October. The secular growth opportunity within the US market for renewables, energy storage, energy monitoring and energy management systems remains very compelling and has considerable momentum as we head into 2021. As previously mentioned, shipments of our PWRcell energy storage systems met our aggressive expectations during the fourth quarter as revenue for these products continue to ramp as they increased approximately 75% on a sequential basis and were a key contributor to the company's year-over-year growth. Overall for 2020, shipments of PWRcell energy storage systems increased significantly during the first year of commercial launch, particularly during the second half, and were in line with our previous guidance of approximately $115 million for the full year. The tremendous growth in energy storage from essentially a start-up business was due to the important advances we have made in growing our capabilities around marketing, distribution, product development and sourcing of these products. We further developed and refined our targeted marketing and home consultation processes and have been very encouraged by the trends with sales leads for PWRcell systems as they continue to be strong during the fourth quarter and have increased further here in the early parts of the first quarter. System activations, which are a proxy for installations and commissioning, also continued to ramp notably during the fourth quarter with this strength continuing so far through the early part of 2021. An important element of expanding our sales and marketing efforts for clean energy is the progress we continue to make building out the distribution network for these products as we trained approximately 4,200 energy storage consultants or contractors in 2020. We continue to receive positive feedback from our growing dealer base regarding the ease of installation, the whole home power and capacity of the PWRcell systems and the qualified sales leads being generated for them. We have continued -- also continue to advance our supply chain capabilities through increased volume and reduced system costs and achieved our first full quarter of profitability during Q4. We also had several important new product introductions last year, and we have a very strong pipeline of innovative new clean energy related products that will be coming to market over the next several quarters. This includes deep integration with our legacy generator products and includes the launch later this year of a purpose-built generator solution that can be combined with a solar and storage system to allow an end user to operate independently of the power grid. Additionally, we will be launching the ability to more easily and cost effectively add a PWRcell storage system to an existing solar installation. And later in 2021, we expect to launch a new load management system that will be paired with our existing PWRview energy monitoring platform to allow a homeowner to more fully control their power generation and consumption. We believe this system will be an industry -- will be industry-leading in terms of the technology and cost and will enable far greater control at the circuit level than is available today. When added as part of a solar and storage installation, a homeowner could effectively tailor their system to optimize for lowest cost or longest duration or some combination depending on their preferences or certain other factors. An example would be to allow the system to react to a power outage by prioritizing those loads deemed critical by a homeowner to extend the duration of their available energy storage. We believe these product launches will further enhance our competitive position and differentiation in the energy storage, monitoring and management markets as we focus on whole house storage solutions with load management capabilities that provide the energy, independence and flexibility we believe consumers really want in these systems. The solar plus storage market continues to expand rapidly, and we expect to see significant year-over-year growth during 2021 as shipments of PWRcell energy storage systems are anticipated to increase substantially as we're expecting them to grow approximately 50% to 75% as compared to 2020 levels. Recall, early in the fourth quarter that we closed on the acquisition of Enbala Power Networks, a leading distributed energy resources technology company based in Denver, Colorado. Enbala's best in class software platform called Concerto, gives utilities, grid operators and energy retailers the ability to connect and utilize distributed energy resources, also known as DERs, to help support the operational stability of the power grid, thereby enabling us to participate in the nascent and growing market opportunity for grid services. DER assets, which include our legacy residential and C&I generators, PWRcell energy storage systems and load management devices, can be connected to the Concerto platform and can be aggregated into a decentralized and virtual power plant network or VPP. A VPP provides flexible capacity to address peaks in electricity demand, variability in supply due to increasing use of renewables and when resiliency is needed as a result of power outages. While still very early in the integration process, we have made progress in developing a roadmap for integrating Enbala's software into our existing generator products and energy storage systems as part of an overall plan to provide a full suite of solutions for utilities, energy retailers, grid operators, and end users. As the market for grid services continues to develop, we believe the integration of Enbala's technology will enable us to not only improve our value proposition to end users with our legacy products, but will also allow us to participate and develop new revenue streams in the years ahead. The solutions will be built around our products that generate, store and manage power and that can be aggregated and controlled resulting in the potential for revenue from sales of software platforms, turnkey operation services and ultimately performance services that can deliver megawatts of power. All of these efforts are targeted at enabling the equipment we provide to be connected more seamlessly as DERs in grid services applications, and in turn, improve the value proposition of these assets, which we believe will lead to increased demand for our products. Now shifting gears, let me provide an update on C&I. As expected, the COVID-19 pandemic continued to have an adverse impact on the overall market for global C&I power generation and related equipment given major declines in GDP growth rates around the world. While uncertainty remains around the pandemic, we are encouraged that the year-over-year revenue decline moderated at certain end markets began to show signs of recovery. As expected, shipments of mobile products to national rental account customers continued to decline significantly during the fourth quarter, primarily due to the impact of the pandemic. As we dealt with the challenging demand environment for mobile products throughout 2020, we focused our efforts on cost reductions and other restructuring actions, which we began implementing during the second quarter of last year. As we enter 2021, we expect shipments to improve from prior year levels as national account rental customers increase their spending on fleet equipment. We remain optimistic about the long-term opportunity for mobile products as an expected fleet replacement cycle begins and the compelling mega trend that remains intact around the critical need for infrastructure improvements, which could potentially benefit from economic stimulus. Shipments to national telecom customers increased at a significant rate during the quarter as compared to the prior year, with the magnitude of the increased pacing ahead of our prior expectations. We continue to see indications from several of our large telecom customers of an improving outlook, and we expect that to translate into very strong growth in shipments during 2021. Recall that demand trends for these customers can vary from quarter-to-quarter based on the timing of their capital spending and their project planning cycles. Historically, however, demand for telecom backup power tends to increase after periods of elevated power outage activity, similar to what was experienced with the outage environment during the second half of 2020. In addition, revenue growth during the current year is expected to benefit from the power security mandate in California, which requires a minimum of 72 hours of backup power at all cell tower locations. We estimate that this new requirement in the state, which went into effect at the beginning of this year, could lead to purchases of between $100 million to $200 million in new equipment from wireless operators over the next three years. Also shipments to other national account customers are expected to show a considerable ramp in 2021 as we gain traction with our lead gas initiatives through increasing quote activity and improving project close rates for our natural gas generators, which are used in applications beyond traditional emergency standby power generation, including their use as distributed generation assets. Lastly, net sales of C&I stationary generators through our North American distributor channel were lower in the quarter as expected due to the timing of shipments in the fourth quarter of 2019, which created a difficult prior year comparison. As mentioned on our last call, project quoting activity has largely recovered since the onset of the pandemic during the second quarter, contributing to a higher backlog and improved overall order outlook for this channel. And as a result, we're expecting growth to resume during 2021. We're also expecting growth from the Energy Systems business, our industrial distributor located in Northern California that we acquired on July 1st of last year, as our investments in integration activities begin to produce results in this large and rapidly growing power generation market. Internationally, the ongoing global pandemic continues to have a negative impact on C&I product demand during the fourth quarter as well. As GDP growth rate slowed materially around the world in 2020, revenues for our International segment in the fourth quarter declined approximately 6% on a core basis when compared to the prior year. This decline was driven by continued weakness in a number of key regions around the world. But overall, international revenue during the fourth quarter was largely in line with our expectations. Similar to our domestic C&I products business, the international year-over-year decline in the fourth quarter was at a notably lesser rate relative to recent quarters as signs of recovery began to appear in certain regions. While COVID-19 impacts are still being felt, larger project quoting and order activity is increasing, and we expect the international segment to return to solid growth during 2021. Also, it's important to reiterate that our international teams remain focused on several critical global initiatives around increasing the penetration of natural gas generators for residential and C&I applications, expanding our share in the wireless telecom backup power segment globally, and entering the emerging energy storage market for both residential and C&I applications. In closing this morning, in recent years we have continued to make important progress on evolving our business model from a focus on clean energy products -- with a focus on clean energy products, solutions and services aligned with the change -- the changing legacy electric utility model. In 2019, we began providing energy storage, monitoring and management systems as clean energy solutions for residential use, and last year we entered the market for grid services involving distributed energy optimization and control software that will help support the operational stability of the power grid. We have also been focused over the last several years on connecting the legacy standby generators we manufacture, including building out our digital platform that creates tremendous value for our customers and our distribution partners over the product life cycle. As the leader in backup power solutions, we believe we're in the unique position to enable the potential utilization of these products as distributed energy resources on a very large scale, thereby providing us with a distinct advantage as the nascent market for grid services expands over the next several years. Going forward, we intend to further build out our capabilities as an energy technology solutions provider through organic investment and continued acquisitions. We expect to expand our energy storage capabilities beyond residential applications in the C&I markets and eventually globally, and further expand our capabilities with energy monitoring and management devices and grid services. These are incredibly exciting times at Generac as we've now built an incredible foundation for growth, and we have the financial flexibility to be a major player in developing the energy grid of the future. I'd now like to turn the call over to York to provide further details on the fourth quarter results and some outlook details of 2021. York?
York Ragen: Thanks, Aaron. Looking at fourth quarter and full year 2020 results in more detail. Net sales increased 28.8% to $761.1 million during the fourth quarter of 2020, an all-time record as compared to $590.9 million in the prior year fourth quarter. The combination of contributions from the Energy Systems, Mean Green and Enbala acquisitions and the favorable impact from foreign currency had an approximate 1% impact on revenue growth during the quarter. Net sales for the full year 2020 increased 12.7% to approximately $2.5 billion, also an all-time record for the company. Briefly looking at consolidated net sales for the fourth quarter by product class, residential product sales during the fourth quarter increased 54.6% to $498.7 million as compared to $322.5 million in the prior year. As Aaron already discussed in detail, home standby generator sales continue to experience robust year-over-year growth, which accelerated to over 40% during the fourth quarter as we made further progress increasing production levels for these products. In addition to this strength, shipments of PWRcell energy storage systems continued to significantly ramp during the quarter as the solar plus storage market expands at a rapid pace in the US and we continue to build out our capability selling into the clean energy space. Also contributing to the growth were a large increase in shipments of portable generators during the quarter, which benefited from the much higher power outage activity as compared to the prior year. Lastly, shipments of chore products were also much higher during the quarter as the Home as a Sanctuary trend positively impacted demand for outdoor power equipment. Commercial industrial product net sales for the fourth quarter of 2020 declined 8.5% to $198.6 million as compared to $217.1 million in the prior year quarter. The weakness in shipments of C&I products was experienced both domestically and internationally in the following areas. Domestically, the negative impact of the COVID-19 pandemic continues to result in our national rental account customers to defer capital spending for our mobile products, and shipments to our industrial distributors also declined against a particularly strong prior year comparison. Partially offsetting these declines was a significant increase in shipments to national telecom account customers due to the capital spending outlook improving for these customers. Internationally, C&I products declined due to the continued weakness in demand across the majority of regions around the world as a result of the pandemic. As mentioned, while still experiencing a year-over-year sales decline during the fourth quarter, the rate of decline for C&I products continued to moderate at certain end markets begin to recover. Net sales for the other products and services -- products and services category, primarily made up of aftermarket service products, product accessories, extended warranty revenue, remote monitoring subscription revenue and other service offerings increased 24.4% to $63.8 million as compared to $51.3 million in the fourth quarter of 2019. There was an approximate 7% benefit to net sales during the quarter from the impacts of the Energy Systems and Enbala acquisitions and favorable foreign currency. In addition, we experienced very strong growth in aftermarket service parts as a result of the higher level of power outage activity during the second half of the year. A larger and growing installed base of our products also contributed to the increase versus the prior year. Gross profit margin improved 180 basis points to 39.4% compared to 37.6% in the prior year fourth quarter. Operating expenses increased $11.4 million or 9.7% as compared to the fourth quarter of 2019, but declined 270 basis points as a percentage of revenue, excluding intangible amortization. As a result, adjusted EBITDA, before deducting for non-controlling interests as defined in our earnings release, was $195.8 million or a very strong 25.7% of net sales as compared to $129.1 million or 21.9% of net sales in the prior year. This 380 basis point improvement in EBITDA margin was driven by the significant gross margin expansion during the quarter, primarily due to the favorable sales mix, coupled with improved leverage of fixed operating expenses on the much higher sales volumes and tight cost control. For the full year 2020, adjusted EBITDA, before deducting for non-controlling interests, came in at an all-time record of $584 million resulting in an attractive 23.5% margin or a 290 basis point increase compared to the prior year. I will now briefly discuss financial results for our two reporting segments. Domestic segment sales increased 37.2% to $645.1 million as compared to $470.1 million in the prior year quarter. Adjusted EBITDA for the segment during the quarter was $188 million or 29.1% of net sales as compared to $122.9 million in the prior year or 26.1% of net sales. For the full year 2020, domestic segment sales increased 19.8% over the prior year to $2.1 billion. Adjusted EBITDA margins for the segment were 27%, representing a 240 basis point increase compared to the prior year. International segment sales, which consist primarily of C&I products, declined 4.1% to $116 million as compared to $120.9 million in the prior year quarter. Foreign currency had a net favorable impact of approximately 140 basis points on revenue growth during the quarter. Adjusted EBITDA for the segment during the quarter, before deducting for non-controlling interest, was $7.8 million or 6.8% of net sales as compared to $6.2 million or 5.2% of net sales in the prior year. For the full year 2020, International segment sales declined 14.1% over the prior year to $396 million. Adjusted EBITDA margins for the segment, before deducting for non-controlling interest, were 5.1% of net sales during the 2020 compared to 5.5% of net sales in the prior year. Now, switching back to our financial performance for the fourth quarter of 2020 on a consolidated basis. As disclosed in our earnings release, GAAP net income attributable to the company in the quarter was $125 million as compared to $69.6 million for the fourth quarter of 2019. GAAP income taxes during the current year fourth quarter were $39 million or an effective tax rate of 23.8% as compared to $13.4 million or an effective tax rate of 16.1% for the prior year. The increase in effective tax rate was primarily due to the significant increase in pre-tax income in the current year, while the prior-year quarter was impacted by more favorable discrete tax items, including a year-end revaluation adjustment related to a reduction in the blended state income tax rate. For the full year, the effective tax rate for 2020 was 22.2% compared to 21.1% in the prior year. Diluted net income per share for the company on a GAAP basis was $1.97 in the fourth quarter of 2020 compared to $1.12 in the prior year. Adjusted net income for the company, as defined in our earnings release was $135.7 million in the current year quarter or $2.12 per share, which was also an all-time record. This compares to adjusted net income of $96.5 million in the prior year or $1.53 per share. Cash income taxes for the fourth quarter of 2020 were $34.9 million as compared to $8.2 million in the prior year quarter. The current year now reflects a cash income tax rate of 17.9% for the full year 2020, which is an increase from the approximately 16% rate previously expected for 2020. This also compares to the prior year rate of 15%. The increase in the current year cash tax rate versus the prior year was primarily due to higher pre-tax income, which is taxed at the higher domestic statutory rate. Cash flow from operations was robust at $218.2 million as compared to $175.1 million in the prior year fourth quarter. And free cash flow, as defined in our earnings release, was $190.7 million as compared to $160.3 million in the same quarter last year. The increase was primarily due to higher net income in the current year quarter, partially offset by the lower monetization of working capital and higher capital expenditures relative to the prior year. Before discussing our guidance initiation for 2021, I want to make a few comments regarding our healthy balance sheet and liquidity position at the end of the fourth quarter of 2020 which allows us to confidently operate our business and accelerate our strategy. As of December 31, 2020, we had nearly $1 billion of liquidity, comprised of $655 million of cash on hand and $300 million of availability on our ABL revolving credit facility, which matures in June 2023. Also, total debt outstanding at the end of the fourth quarter was $885 million, net of unamortized original issue discount and deferred financing costs. Our gross debt leverage ratio at the end of the fourth quarter was only 1.5 times on an as reported basis. In addition, our term loan doesn't mature until December 2026. We do not have any required principal payments on this facility until the maturity date, and it has a low cost of debt of LIBOR plus 175 basis points. We also have interest rate swap arrangements that fix our interest rate exposure on approximately $500 million of this debt through the maturity date of December 2026. Further enhancing our overall liquidity is our strong cash flow profile. And for the full year 2020, free cash flow was easily an all-time record of $427 million as compared to $251 million in 2019, which was our previous record. Uses of cash during 2020 included $69 million for acquisitions, $62 million for capital expenditures and $25 million for the net repayment of debt. Lastly, given our strong balance sheet and free cash flow generation, we have significant resources to drive further shareholder value as we execute on our long-term strategic priorities. With that, I will now provide further comments on our new outlook for 2021. Key demand metrics for home standby generators, including home consultations and orders, continue to trend much higher during the fourth quarter relative to prior year levels, and this strength has continued thus far in the first quarter. Due to this ongoing unprecedented demand, which has extended lead times for these products, there was a substantial backlog awards for home standby generators at the end of 2020, which has further increased thus far in the first quarter. As we expand manufacturing capacity during 2021 with a new facility coming online, we expect to further ramp production levels for home standby generators, helping to alleviate this backlog. In addition, the solar plus storage market is expected to experience significant year-over-year growth during 2021 as storage attachment rates continue to climb, leading to the expectation of substantial growth in shipments of PWRcell energy storage systems as we continue to build out our presence in this market. Although demand for C&I products during 2020 was negatively impacted by the onset of the COVID-19 pandemic, the year-over-year revenue declines continue to moderate, and shipments for these products are expected to return to growth during 2021 across a number of key end markets and geographies. As a result of this positive top-line outlook, we are initiating guidance for 2021 that anticipates significant revenue growth as compared to the prior year. Net sales are expected to increase between 25% to 30% as compared to the prior year on an as reported basis, which includes only approximately 2% of favorable impact from acquisitions and foreign currency. This revenue outlook assumes shipments of residential products increase at a very robust rate during 2021, a rate that is similar to the year-over-year growth rate experienced in 2020. Revenue for C&I products is expected to rebound at a strong rate as compared to the softer prior-year comparisons, a rate approximately in the mid-teens range. Importantly, this guidance assumes a level of power outages during the year in line with the long-term baseline average. However, consistent with our historical approach, this outlook does not assume the benefit of a major power outage event during the year, such as a category 3 or higher landed hurricane. Given current capacity constraints for home standby, the upside of a major power outage event would be more limited to incremental portable generator shipments during 2021, meaning any extra lift for home standby generators from a major power outage event would most likely spill over into 2022. Due to the significant home standby backlog at the end of 2020, we are expecting the quarterly seasonality in 2021 to be more level loaded relative to normal historical patterns, with sales in the first half being approximately 48% weighted and sales in the second half being approximately 52% weighted. As a result, total year-over-year growth is forecasted to be approximately 50% for each of the first and second quarters of the year. Looking at margin profile as we enter 2021, there are near-term cost pressures, ongoing logistics delays and various capacity constraints in several areas across the supply chain which are resulting in higher input costs, including rising commodities, foreign currency headwinds, increased logistics costs, additional tariffs, and higher wages. We expect these inflationary cost pressures, together with new facility start-up costs, to be largely offset by favorable sales mix, pricing and cost reduction initiatives across the organization through our Profit Enhancement Program. As a result, we expect gross margins for full year 2021 to be similar to the second half of 2020 run rate. In addition, we continue to make operating expense investments to scale the business, support innovation and drive future revenue growth into new and existing markets. As a result of these factors, adjusted EBITDA margins before deducting for non-controlling interests are expected to be approximately 24% to 25%, which is an increase from the 23.5% reported for the full year 2020. We expect adjusted EBITDA margins during the first half of the year to be moderately lower, between 50 basis points to 100 basis points, relative to the second half of 2021, given the full realization benefit from pricing and cost reduction issues in the back half of the year. As is our normal practice, we are providing additional guidance details to assist with modeling adjusted earnings per share and free cash flow for 2021. For 2021, our GAAP effective tax rate is expected to increase to between 23.5% to 24.5% as compared to the 22.2% full year rate for 2020. This increase was driven by higher pre-tax income and a higher mix of domestic pre-tax income relative to the prior year. Based on our guidance provided for 2021, our cash income tax expense for the year is expected to be approximately $135 million to $140 million, which translates into an anticipated full year 2021 cash income tax rate of between 20.5% to 21.5% as compared to the 17.9% rate for the full year 2020. As a reminder, our approximate $30 million per year tax shield, that originated from the LVO transaction in 2006, fully expires at the end of this year. As a result, 2021 is the last year that adjusted earnings will benefit from a notably lower cash income tax rate relative to our GAAP income tax rate. Beginning in 2022, the cash tax rate is expected to be more in line with the GAAP tax rate in the 25% to 27% range. In 2021, we expect interest expense to be approximately $34 million, assuming no additional principal payments during the year and flat LIBOR rates throughout 2021. Our capital expenditures for 2021 reflect continued investments in expanding capacity and are projected to be between 2.5% to 3% of our forecasted net sales for the year. This CapEx guidance includes the new Trenton, South Carolina facility and related equipment that we expect to bring online during the second half of 2021. Depreciation expense is forecasted to be approximately $40 million in 2021, given our assumed capital spending guidance. GAAP intangible amortization expense in 2021 is expected to be approximately $34 million to $35 million during the year. Stock compensation expense is expected to be between $20 million to $24 million for the year. For our full-year 2021 operating and free cash flow generation is once again expected to be strong and follow historical seasonality, benefiting from the solid conversion of adjusted net income to free cash flow expected to be approximately 90% for the year. Finally, our full-year diluted share count is expected to increase and be approximately 64 to 65.5 -- 64 million to 64.5 million shares. This compares to 63.7 million shares in 2020. This 2021 outlook does not reflect potential business acquisitions or stock buybacks, This concludes our prepared remarks. At this time, I'd like to open up the call for questions.
Operator: [Operator Instructions] First question, Philip Shen from ROTH Capital.
Philip Shen: Hey guys, congrats on the strong results.
York Ragen: Hey, Phil.
Philip Shen: Okay. It just seems like you guys are just running flat out, running at call it 24 hours, 7 days a week, 3 shifts. And with your strong guidance, I think you alluded to this. If there is an outage or some kind of event, there might be a limited upside, and it might be limited to portables just because it seems like you're maxed out. When do you guys think you can catch up and kind of get ahead of the curve here? The facility announcement is definitely a great start, and it seems like you might be able to get 2X -- you talked about 75% more capacity. But we looked at the facility, it looks like maybe you can get the 2X of that number. And at one point, Aaron, I think you were talking about being able to get the ability to expand to 5X, that 75%. So, I was wondering if this location gives you that potential. Thanks.
Aaron Jagdfeld: Yes, it's -- I mean obviously capacity right now, Phil, is we're, as you say, we're flat out, and we're starting to see actually capacity pressures even in our C&I business which, thankfully, we have a brand new plant down in Mexico that we brought online last year. We haven't talked a ton about it, but it's a beautiful facility. It's primarily there to serve the Latin American market consolidation of our previous operations down in Mexico City, but we can use that facility as well for other things. And we'll probably end up doing some products for the US and Canada down there simply just because we're going to be up against some capacity things here too, especially in the smaller C&I ranges for telecom. The telecom business is looking like it's -- the line-up there is pretty strong relative to demand. But on the -- back on the home standby side. Yes, the new facility in Trenton is going to be a big boost. You're right, the 75% improvement that we say or increase that we've been indicating in capacity was off of the previous capacity limitations as we entered 2020. So we did raise those numbers over the course of 2020. So in effect with that new facility coming online, we can get more -- more capacity. And then that site is actually expandable about 2, 2.5 times its existing size today if we choose to go that route. So to answer your question, when do we see catching this? We're going to be working hard all year long to do that. Remember, recall that we do have some temporary production that we stood up in one of our other facilities here in Wisconsin. The initial plan was to take that down as we ramped up the Trenton facility over the summer. We could choose to leave if demand remains strong, and every indication right now is that will be the case, we could leave that temporary capacity add online, which gives us kind of an incremental bump above where kind of we would be if it was just Whitewater and Trenton. So -- but the way we've sized the equipment and everything in the Trenton facility, we think we'll be ramping throughout the full year. And we'll will kind of hit the ground running here mid-year and hopefully be at kind of max rates by the end of the year. That would be the goal.
Philip Shen: Okay. Thanks, Aaron. And then embedded in your guidance.
Operator: Next question, Tommy Moll from Stephens.
Tommy Moll: Good morning, and thanks for taking my questions.
Aaron Jagdfeld: No problem, Tommy, apologies to Phil.
York Ragen: We'll follow up.
Tommy Moll: It happened to me last quarter, so I guess it's where we are these days. Lots of interest in the call. I'll get I'll get to the questions here. So I wanted to talk about some of the demand dynamics you've seen around the Home as a Sanctuary theme. Have you discerned anything different in terms of the demographics or anything you pick up on the types of customers whose leads you're qualifying or maybe through channel conversations? You've commented that it's a much broader swell of demand geographically, so many more states for example, so that -- it's clear that that's changed. I just wonder for years and years you've had a pretty, pretty good insight into the types of folks who are interested in your products demographic wise. And I just wonder if you're seeing any shifts there as a part of this trend.
Aaron Jagdfeld: Yes, it's a great question, Tommy, We do a ton of work around the demographics of the customer bases that buy those products over the years. It's just as the leader in that category and as building it out, we had to develop the market, so understanding who the buyer was and where the opportunities were. And frankly, one of the things we learned in that is understanding who the buyer wasn't, right. So who wasn't buying the products and why? Who went through the sale process and didn't buy and why didn't they buy? Those are all important considerations. And to answer your question though, demographically typically the product category historically has skewed older, right. So something on the order of 70% of the customers have been over age 50 historically, and that's really because home ownership kind of follows those trends. We have seen indications early in the pandemic, what we saw, and it's a little bit dicey when we talk about this because you have to talk about that expansion in the geography. As an example, Florida was such a hot market last year for us. And it just, it typically demographically is an older market. So we actually saw our demo shift older, but when you strip out Florida, actually the demo for other states was shifting younger, which is really fascinating. I think what it speaks to, Florida was an interesting dynamic because you had a lot of people who went down over the winter last year. The pandemic started to take hold February and March. They chose to kind of shelter in place and stay in Florida. If they didn't own a generator, they came to the conclusion very quickly they needed one because they were going to be basically stuck in Florida. And they started to get worried about something that if you're not living there, you don't worry about over the summer, which is the hurricane season. So, we saw marked interest in Florida by that market, and that led to kind of a skew towards older. But everywhere else it was younger. And so what we're seeing is younger families, in particular people who are moving out of cities, metro areas, and into homes, and again they're working from home now, in particular. They're not driving back into the city to go into an office. They're staying in their home. And so they start to connect the dots, and maybe they experience their first outage in their new home, and they figure out very quickly just how vulnerable they are. You hear us use this term power security. We started introducing in the terminology here, and it's not an unfamiliar term for those around the industry, but this idea of making sure that you've got a continuous source of power to protect your home, your family, your livelihood is I think -- is really resonating across certainly across geographies, as we talked, but demographically I think it's resonating in particular with people who are shifting to that work from home model and learn from home model.
Tommy Moll: That's very helpful context and much appreciated. I want to ask a follow-up on a different theme here around the potential to go build out some virtual power plants now that you've got Enbala under the portfolio -- in the portfolio. And specifically you made some comments around the potential to enroll natural gas generators, whether they'd be on the resi or the C&I side, into that kind of platform. And what is the -- what is the potential ramp there look like here in North America. Maybe because you have such great market share on the resi side, not many others have talked about that concept, but it sounds like you have some product innovation in the pipeline that may enable it. And so, I'm curious what the opportunity set looks like.
Aaron Jagdfeld: Yes, it's something that as part of the thesis behind the acquisition of Enbala was that obviously we make, we make a lot of products that could be used as distributed energy resources, right. So we have $2 million home standby generators on the ground. We have literally hundreds of megawatts of C&I products that we put into the market every year. It's actually, if you step back and you think of the potential, and I called it out in the prepared remarks, and we think we're in this incredibly unique position given the scale that we can bring to this with the assets that we already, not only that we already have on the ground, but certainly that we put into the market on a year-in and year-out basis. And those assets combined now with the technology, which is Enbala, the Concerto platform is the enablement of those assets to be used in a much more fulsome way right, to the benefit of the end users, grid operators, utility companies, ourselves, right, Generac. I mean there is an opportunity for us to participate in that. We haven't given really clear kind of longer range guidance on this yet, because we're trying to get our arms around just what are the different business models that are out there and available to us, and there are a lot of them. I talked about few of them in the script here today, but there is a lot of different ways we could play this. I think the opportunity doesn't begin though until we get the products to be connected to the Enbala network, and that's what our effort is here in the early innings. So we just closed on this acquisition in really the beginning of Q4 in October. So we've been diligently working on our roadmaps to make sure we can take our existing residential generators, our existing C&I generators, our existing PWRcell storage devices and then some of our newer load management products that I talked about on the call today. We're going to make all of those what we refer to as Enbala ready. And by doing that, in effect, we have an asset that can be much more strongly positioned with a much higher value proposition for an end-user, beyond -- well beyond just emergency standby in the case of our legacy products. And so again, I'm not answering your question directly only because we're still kind of working through how do we want to speak to this, what is the potential, how easy or hard will it be to monetize that potential, right? And then what does that monetization look like for us specifically? So, I think in the end one thing we are convinced about is, we're going to able to sell more assets, right. I mean the assets we sell today -- we're selling a lot of assets today, primarily on the premise of emergency backup. If now those assets could be deployed as part of a virtual power plant or distributed grid and they have much more utility and value, suddenly you take an asset like a home standby that doesn't have a payback for a homeowner. That's not why a homeowner buys it. And you turn into something that could provide a payback for that homeowner, if the generator were to be switched on by the Enbala network, by a grid operator or an energy retailer several times a year, several hours a year, for the benefit of reducing the premium they pay on the open market when there are supply-demand imbalances on the grid. So it is a super exciting area for us and more to come. More to come from us on that and really looking forward to again our unique position with grid services.
Operator: Next question, Philip Shen from ROTH Capital.
Philip Shen: Okay. Thanks for taking me back. Yes, so I'll just ask one more and pass it on. But as it relates to the guidance, and I think you guys in terms of clean energy last year, you did $115 million in revenue for clean energy. And I think you said that you expect that to be 50% to 75% higher in '21. So just wanted to make sure that roughly $185 million to $190 million of revenue at a midpoint for clean energy in '21. And then, as a kind of another topic there, maybe finish that up, and I'll come back and follow-up on clean energy. Sorry.
York Ragen: Yes, I know that, I mean basically you confirmed what we said in our prepared remarks. We saw a large ramp in Q4, up 75% from Q3, and that momentum is going to continue into this year. And with the positive things we're seeing, we're showing -- we're talking 50% or 75% increase in '21 versus 2020.
Philip Shen: Great. And we've heard some logistical issues on the storage side as you guys are ramping up and growing this business. Some of it has to do with ports and congestion and maybe certain installers when they getting their goods. I mean maybe they get the battery, but they don't get the Optimizer, they don't get the SnapRS or something. So can you talk about when you expect to resolve that friction if you will, and is that maybe limiting some of the growth. And in fact once you solve that, do you think the growth could perhaps even accelerate?
Aaron Jagdfeld: Yes, Phil. We think that those are largely behind us. We had some constraints as you mentioned, logistics mainly. For a while there, we were flying pieces and parts over the top of boats on the West Coast ports. We've got a full inventory position now and everything we need. And we think that that's going to be -- going to give us a good start here to 2021. And it's certainly an important part of getting to that 50% to 75% growth rate that we're quoting for our expectations next year. So -- but supply chain is a constraint. It's a concern, a challenge. I would imagine for most companies right now like ours it's -- every day is a new battle with something right. I mean it's just it's hand to hand combat right now down in the trenches on trying to get pieces and parts from the supply chain, all the way through into our warehouses and in the hands of our customers. So -- but the particular things you're mentioning there we've got behind us.
Operator: Next question, Ross Gilardi from Bank of America.
Ross Gilardi: Good morning, guys. We're running out of superlatives for Generac on your performance. Congratulations.
Aaron Jagdfeld: Thanks.
Ross Gilardi: Can you speak at all to the size of the backlog for us or if you don't want to say the absolute number, just some sense of like how it compares to when you were exiting 2012 on the back of Sandy? And I'm just trying to get a better sense of the production versus the retail trends in home standby as they unfold in 2020. It's hard to believe that as strong as the category has been with you guys running above capacity that you've actually under produced demand so materially, but just trying to understand those dynamics a little better.
Aaron Jagdfeld: Yes, I'm right alongside you on that one, Ross. We have been making some major investments in our Whitewater facility where -- which has been the primary center of gravity for manufacturing of those products. And those are investments, multi-year, multi-tens of millions of dollars that we've been putting in that facility to ramp production there. And honestly, we came into this year. We've put a bunch of automation in that facility early in the year well before the pandemic hit. So we thought we were in pretty good shape. And then the demand curve has just been, I -- you talk about the loss of words and superlatives. Mike's running out of things in the thesaurus here -- every time we write these prepared remarks, we're trying to figure out how else to describe what we're seeing, because it's -- it is -- it's really something. And I guess, while we're not quoting a distinct number, I'll just get to the heart of it. At the end of the year, I think we said -- in the Q3 call, we said our lead times on home standby generators were between 16 to 20 week. So pick the midpoint on that. It's about 18 weeks as kind of where we exited the year at if you ordered one. It was 18 weeks out. Today, we stand at about 20 weeks. So it's actually gone the wrong way on us. And that's -- again we're at all-time daily records we're hitting every day at our facility there. That Trenton facility can't come online fast enough. It's -- I wish we had a better answer for people. Our customers are really patient. I think the one thing that -- the one saving grace if there is one here is, this is a home improvement project. So people are somewhat acclimated to home improvement projects generally taking a long time. There is permitting involved, there's inspections involved. It's not just a kind of a one and done deal where you have something you order and then it gets shipped to your house. This is -- there's contractors involved and other authorities and jurisdictional authorities and things like that. So, I think -- I'm not trying to say we have some cover for the longer lead times, but they get accepted to a degree. Lead times are long, but we don't see a ton of cancellations, it's very sticky backlog. To answer your question about as compared to when we exited 2012 into 2013, after Sandy. It's orders of magnitude higher, hundreds of millions. And it's a huge number. You can do some of the back of the envelope math if you look at our HSB kind of pacing in Q4, and you kind of think about our normal lead times of one to two weeks and being out 18 at the end of the year and then that growing another two weeks. You can kind of model that out and probably arrive at some -- a range there of some thoughts on what the backlog might look like, but it's not an English word, but ginormous is one of the words we can use to describe it.
Ross Gilardi: All right. Good enough. And then can you talk a little bit more about the profitability in your clean energy business and with PWRcell? You mentioned that you were profitable. I think that was an EBITDA comment, but I wanted to clarify that. And can you talk at all about the gross margins for your clean energy business, where roughly will they be by the end of 2021 in comparison to your overall gross margin? And just how should we think of it more on a two to three-year basis as you continue to ramp?
York Ragen: Yes, Ross. It's York. So yes, making very good progress on gross margin optimization. A lot of focus on the bill of material, a lot of focus on supply chain. And you're right, leaving the year here in 2020, in Q4, we were profitable. That was a nice landmark or a milestone for the start-up business being profitable in Q4. But throughout 2021, we do expect to ramp up our gross margins to somewhere in the mid-30% range. So that's relative -- what did we do almost 40%, well, I guess, high 30s here gross margin for 2020, so close to the Company average by the end of '21 is the plan. And then obviously we're going to be ramping up on our operating expenses to really go fast after this market. So expecting EBITDA margins to grow throughout the year as well, along with gross margins maybe hitting double digits there by the end of the year for EBITDA margins.
Operator: Next question, Mike Halloran from Baird.
Mike Halloran: Hey, good morning everyone. Let's stay on the clean energy side, maybe just an update on how distributor penetration. I know, Aaron, you made some in the prepared -- comments on the prepared remarks, but more importantly just some thoughts on the competitive dynamics, how you think the receptivity of your product in the marketplace is comparing to others? Obviously very strong demand holistically. So more curious on the relative side for you and how you think that's tracking versus what your hopes were?
Aaron Jagdfeld: Yes, Mike. So making really good progress on the distribution front, that's your question. I think in the prepared remarks we said like, we've trained over 4,200 energy -- we call them contractors. We sell kind of in a multiple of ways there into the channels. We two step through electrical wholesalers -- clean energy electrical wholesalers. And we also sell in some cases direct to a large national partners like Sunnova, who is one of our partners, a great partner of ours. And then, we serve a number of other kind of larger independent kind of long tail energy, clean energy companies directly. So really made good progress though. And it's been -- one thing we learned with the home standby business is you really got to have a lot of points of light, especially in something that's growing that's not as penetrated right. And certainly storage is a lot like the parallels there between home standby, in terms of the early days of home standby 20 years ago and what storage looks like today are eerily similar, super low penetration rates, super low awareness, pretty expensive, kind of lacked kind of availability in terms of where you could access the product, market access. So we know, we knew the roadmap, we had to take to change that. So we've been really focused heavily on that here. And I think our sales and marketing efforts, the efforts to put together sales processes for these channel partners and path leads to them, right. I mean one of their barriers to growth has always been customer acquisition costs, and here we are giving our channel partner leads for free. We're paying when -- they're not free of course, we're spending millions and millions on advertising to drive the leads into our hands, but we're giving them to our channel partners, so that they can see -- so they can have success. Because if they have success, we have success, it's a symbiotic relationship. So again, I don't know if I'm getting to the heart of your question, but really focused on building out that distribution network.
Mike Halloran: So, more I think along the lines of when you think about what you're doing in the market. Everyone is growing. Do you think you're getting your fair share, more than your fair share? And how do you think the competitive offering stacks up?
Aaron Jagdfeld: Yes, so I think one thing that we've done is we're basically going to market from a differentiated standpoint. The way we differentiate is we focus on whole home back up, whole home power capability, right. So we have a largest inverter in the industry, which allows for more to be connected to the system at any one point in time, right. So people we compete with have smaller inverters and therefore the capacity constraints that are -- that manifest as a result of that mean that you can't take everything in your home and try and run it at the same time. There's just serious limitations to that if you have a smaller inverter. It's one of the reasons we really like the Pika energy system is it had a very high capacity inverter, and also the battery cabinets and the battery capacity, we believe we have one of the largest capacity availabilities in the industry. So you get longer duration then. If the outage lasts more than four hours, eight hours, you start to run into trouble, but we definitely can do quite a bit with the current size of the system. So that's how we differentiate. Are we getting our fair share? I think so. I mean we're growing very quickly. You can look at growth rates from others who are in this industry and how they describe their own growth in Q4 in clean energy and in particular around storage, right, if we just want to focus on that. And I would say our 75% growth rate is best in class, at least for those companies that have talked about it openly. So we feel like we're making good headway. We feel like we're building the brand and the space there, adding the distribution. And as I said on the prepared remarks, we've got a huge pipeline of really cool new stuff coming that I think it's going to only continue to separate us from the pack here as the market grows.
Operator: Next question, Christopher Glynn from Oppenheimer.
Christopher Glynn: Hey, good morning guys. Most of questions have been asked. Just wanted to kind of go into the splits first half, second half, 48, 52. How should we think about the residential and the C&I relative to that 48, 52? Do they both kind of track that? And part of the impetus for the question is you've talked about Trenton hitting kind of max capacity later in the year in the second half. It sounded like you were talking about actual utilization, not just its ability to be online.
York Ragen: Yes. And I think that the first part of your question is, I would say that both Resi, C&I would probably follow similar trends in that 48-52. And I don't know if your second question was around that the 75% increase in capacity. That's a capacity number, it doesn't necessarily mean that's where we'll be at in the building by the end of the year. But we haven't given that number out, like…
Aaron Jagdfeld: Well, we hope to have the capability to be at full utilization by the end of the year should we need it.
York Ragen: Yes, that's a good point.
Aaron Jagdfeld: I think that's the answers to the question.
York Ragen: It's a good point.
Operator: Next question, Jed Dorsheimer from Canaccord Genuity.
Jed Dorsheimer: Hey, thanks, guys. Yes, great job, all the way around. So, Aaron, just if I think about resiliency and efficiency. I think most people and investors tend to think, well both are positives, but many don't realize that you're diametrically opposed between resiliency and efficiency. So as you think about the business and kind of climbing that efficiency, but also where there is freely available resilience sort of that parabolic curve, if you will. If we think about Home as a Sanctuary, it seems like we're sort of in that first order which is I've got a rolling blackout and so -- or I've got a storm or fire that hit. And so I don't want that to happen again. So I want to make my home more resilient. But when you think broader, sort of away from the coast, and you look at the policy that's being pushed out right now in terms of the -- for decarbonization. It seems like there is a much bigger play here in terms of that, that discussion along resiliency and efficiency where even these great results are kind of first inning type stuff. I'm just curious how you're thinking about that?
Aaron Jagdfeld: Absolutely, Jed. I mean, when you look at, I would take our -- let's start with our legacy business, right, which we've been focused on for over 60 years, and it's about emergency backup. And an emergency backup system is, frankly, it's about cost. It's about first piece cost and what that system is capable of in terms of output, right. And so efficiency, rarely if ever, comes into the consideration for a homeowner or even a business owner for that matter. What's the cost of the system? What is my potential loss during an outage and how long could I run if I needed to, right? And so the efficiency was never really a consideration. Of course, we are concerned about things like that. In fact, I might point out one of the reasons we've been able to successively go larger with like our air cooled solution as an example -- we introduced the 24 KW air-cooled unit, is because we did focus on efficiency, right. We looked at the internal workings of the machine itself, both at the engine and at the alternator and made some design changes that allowed us to get a more efficient connected output to convert the mechanical energy to electrical. So that was an example where it's allowed us to position with the industry's leading product line. Now thinking forward, you're right. As you think about a distributed energy network or you think of the Grid 2.0 or 3.0, depending on your viewpoints on what you want to call it. I think that the new grid, this changing energy landscape, it's about a focus on decarbonizing, digitizing, right and decentralizing, right, the three Ds of that transition and that transformation that's underway. And so efficiency does play an important role there. But that being said, I think that the ability though to take an asset, which was primarily viewed only in the context of resiliency and for an emergency duty, and to use it more frequently, for peak times, right. If you want to think about peak times, there is a significant benefit to that when you think about that machine's usefulness over its life, right. So, as it sits there today, a machine delivered for emergency backup only will run a very limited amount of time in its life. That machine is fully capable of running much more. But unless it's called upon it doesn't. And so -- but with the Enbala platform, and with the idea of expanding grid services, it could be put into that type of mode. And that is a -- that's an exciting advancement as we talked on the prepared remarks and then on some of the Q&A. And I think we are very early in the innings in this transformation. And as I said before, I think one of the really interesting things as we look across what's going on in our business today, all the demand for home standby is about resiliency, primarily right. And so most of those customers who are buying home standby today or clamouring for one, really aren't even thinking about that that could be used in a different way. We're going to be educating people that it could. And I think that's going to open up even more opportunity and potential with the category, those existing categories, the legacy products. And that's what makes it so exciting I think, because again we just, we think that the added value prop, the improved value prop of those products is going to help us sell a lot more of them. So, I think that's why when you think about where this is going and our unique position as the asset manufacturer coming at this, right. I think a lot of others in this industry that we're competing against have come at it from maybe the software aspect or maybe the clean energy aspect. We're coming at it from an asset production aspect. And we're saying let's enable those assets to do a lot more because we know they can. And by the way, the majority of those assets, they're natural gas fired. So they're very clean in terms of the overall carbon footprint. So it's just -- we think it's just a really good -- good setup.
Operator: Last question, Jerry Revich from Goldman Sachs.
Jerry Revich: Yes, hi, good morning everyone. Aaron, I'm wondering if you could talk about the backwards compatible nature of the Wi-Fi connected assets that you have in the field now. So going forward into this future vision of the grid that you folks laid out, will you be able to take the gen sets that are being installed today, that are Wi-Fi connected and connect them to the Enbala network? Could you talk about that? And separately, I'm wondering if you can talk about the pipeline that you have in sign-ups of new points of light, if you will, for your PWRcell distribution? Can you just quantify what that pipeline looks like for you? How many points of light do you think you're adding per month at this point?
Aaron Jagdfeld: Yes. So we talk about Power partners, and again because we're selling in some cases two step right. So we're selling to the contractors. They're selling to clean energy, part of your question, Jerry. That really is, it's about -- I think, we're at 700. And we've got a bunch of them in the pipeline as well.
York Ragen: They're using our CE lead-gen system.
Aaron Jagdfeld: Correct, correct. And then the first part of your question on the connectability. So we've got 2 million home standbys in the field. I'll just focus on residential, because I think it's a little bit easier to get our arms around the answer to the question. And frankly, the numbers are just big. Two million machines that we've put out in the field over the last, call it 20 years to 25 years. Starting with the products in 2008, those versions of products, those are connectable through our Wi-Fi solutions. Starting in, I think it was 2018, they began coming out of the box as standard with Wi-Fi connectability. But the 10 years of product -- the generation of product previous to that you can buy a device from us, an accessory device to make those connectable. That represents about 1.5 million of the 2 million going from 2008 forward. So think about in terms of ease of connectability, you can still connect the previous generation products, the 500,000 that are out there. It's just a little bit harder. The software and the hardware is a little more complicated. Those machines are older and not as quite -- obviously, they've been out in the market for some time, anything pre-2008. These machines have a lifecycle of 15 to 20 years. So, now just taking this one step further. What we have on our Wi-Fi and cellular platforms today is about a quarter million machines that are actively talking to us every day. So I think that's pretty exciting, when you just think of the scale of that, a quarter million since really 2018, the number of machines that are out there. That is pretty meaningful. We haven't really talked about that. So it's kind of an important data point that we haven't given before, but -- and it's rapidly growing. And we have, there are subscription revenues to some of the services. We do it -- some of them are sold through our channel partners. We call them fleet subscriptions. Some of them are just consumer subscriptions. It's actually a pretty cool business, and it's growing quite nicely. But what's really important about that is, those machines, those quarter of a million machines, for the most part, you're just talking about a software update, right. And all of those machines today, by the way, everything that's been coming out standard since 2018, you can do over the air updates with the firmware and software, which is awesome. So any new features like the Enbala platform, we can send it across the airwaves as an update to that equipment. So that's pretty powerful stuff. It's not unlike what you're hearing from others out there in different industries. We have that capability. We thought that, that was going to be really important for us to make sure that was in the technology roadmap here and the technology stack, and it is. So anyway, kind of bringing it to closure though. This is actively ramping. There's a lot of machines out there that we're getting data from and that we can enroll in those platforms. And then going forward, the roadmap, we want to make Enbala standard much the same as we made Wi-Fi connectable technology standard in 2018. We believe that every machine by the end of this year, every home standby shipping will have -- it will be Enbala-ready if you will, and our storage devices as well.
Operator: There are no further questions. Mike Harris, do you have any closing comments?
Mike Harris: We want to thank everyone for joining us this morning. We look forward to discussing our first quarter 2021 earnings results with you in late April. Thank you again, and goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect. Have a good day.